Operator: Good day ladies and gentlemen and welcome to the Asure Software’s Corporate Conference Call. My name is Kevin and I’ll be your coordinator for today. At this time all participants are in a listen-only mode. We will facilitate a question-and-answer session towards the end of the presentation. [Operator Instructions]. I would now like to turn the call over to Cheryl Trbula of Asure Software. Please proceed.
Cheryl Trbula: Kevin, and welcome everyone to Asure Software’s conference call. Before we start, I’d like to mention that some of the statements made by management during this call might include projections, estimates and other forward-looking information. This will include any discussion of the company’s business outlook. These particular forward-looking statements and all of the statements that may be made on this call that are not historical are subject to a number of risks and uncertainties that could affect their outcome. You are urged to consider the risk factors relating to the company’s business contained in our latest periodic reports on file with the Securities and Exchange Commission. These risk factors are important and they could cause actual results to differ materially. This call is also being recorded on behalf of Asure Software and is copyrighted material. It cannot be recorded or rebroadcast without the company’s expressed permission and your participation implies consent to the call’s recording. After we have completed our review of the quarter, we’ll open up the call for questions from the financial analyst community. I would now like to turn the call over to Pat Goepel, CEO of Asure Software. Pat?
Pat Goepel: Thank you, Cheryl. And I’d like to thank the investors, analysts, employees and trusted third parties and welcome you all to the third quarter conference call. Today I will address the quarter first and then we’ll have Brad Wolfe, our new CFO present the actual results. And then I’ll come back and provide a look ahead for the upcoming fourth quarter and year end. First of all third quarter brought us two acquisitions, so it was an eventful quarter. We acquired FotoPunch at Provo Utah and we’ve had a partnership with them for years and very excited about the partnership, the acquisition and it’s led us to some sales success. And we think we’re going to get some real traction moving forward. So, we’d welcome FotoPunch to the Asure family. We also acquired Roomtag, and they were out of Baltimore Maryland. And as we look at helping companies with their employee cost, their real-estate cost as well as their technology and asset tracking cost, we thought Roomtag was an excellent acquisition to help and to provide value for us on behalf of our clients. And we’re excited about the acquisition. That acquisition and FotoPunch were in the early third quarter. So we had a very eventful third quarter on the acquisition front. And all of this is really helping us position ourselves as a global provider of Cloud and mobile services to multinational companies. So we – with the employee, real-estate and asset tracking and technology cost. Key sales for the quarter, and we had an overall, a very strong, overall sales number ECI, Sartek [ph], KPMG, Deutsche Bank in the U.K. and Educational Pass Bank. What we are pleased about those selections of sales and clients is that they really highlighted an integrated professional services, cloud based mobile solutions as well as our integrated hardware, our panel and clock offerings. And our overall sales, was very brisk. Our cloud sales, we did have a pull-back of about 22%. Year-to-date our overall increase in sales was 36% and our increase 28% in the cloud so we’re very pleased with the momentum. And we had exceedingly strong second quarter in sales. And we had a natural pull-back around timing. But the year-to-date numbers of 36% overall increased 28% in the cloud I think are more indicative of the growth rate that we’re starting to hit. We had a mobile route – or mobile services at Asure now. We’ve already had I think 15 clients here in the last couple of weeks. And we’re thrilled with the response, you’ll see webinars and we’re getting a word out to our clients that we’re now mobile. And clients can book a room from their mobile device which will add value to their offering. We were active in the global partnership front. We recommitted and tightened our relationship with the New Zealand provider in this past quarter as well as signed some partnership agreements in Dubai and New Zealand. We think there is some revenue potentially in the fourth quarter as well as ‘15, we set about those partnerships. And all this activity with two acquisitions, sales, a lot of growth, global partnerships, and what was important was we’re in the block. And we were profitable in the quarter by $161,000. If you look at our year, the first quarter we did refinancing and kind of right-sized the financing of the business. In the second quarter we were barely profitable, the third quarter $161,000 profitable. We anticipate improvement of that into the fourth quarter. So, we’re making very good progress on the revenue line, the gross margin line as well as the net income line. And with that I’m going to turn the call over to Brad Wolfe, who started on October 4. And we’re excited to have Brad, and he’ll go with speak to you with the actual results.
Brad Wolfe: Thanks Pat. Good morning, everyone. I’ll take few minutes to go over the third quarter financial highlights. And then we will be happy to answer any questions during the Q&A period at the end of this morning’s call. In the third quarter, revenue was at $7 million, a 9% increase from the $6.5 million reported for the same quarter of last year. Year-to-date revenue was at $20.1 million, up 7% from $18.7 million reported for the same period of last year. The year-over-year increase in both third quarter and year-to-date revenue is comprised primarily of increases in cloud revenue and professional services revenue as we continue to emphasize our integrated cloud-based solutions. As compared to the third quarter of 2013, cloud revenue increased $208,000 or 6%; professional services revenue increased $258,000 or 36%; and hardware revenue increased $197,000 or 36%. On-premise software license revenue and maintenance and support revenue decreased by $108,000 or 5%. As compared to 2013, year-to-date cloud revenue increased $769,000 or 8%; professional services revenue increased $705,000 or 38%; and hardware revenue increased by $239,000 or 20%; on-premise software license revenue and maintenance and support revenue decreased by $404,000 or 7%. AsureSpace revenue was $4.4 million for the third quarter, an increase of $851,000 or 24% from the $3.5 million reported for the third quarter of 2013. This increase was primarily due to an increase in cloud revenue, hardware revenue and professional services revenue. AsureForce revenue for the third quarter was $2.6 million, a decrease of $291,000 or 10% from the $2.9 million reported for the third quarter of 2013. This decrease was primarily in legion product revenue and was offset by an increase in AsureForce Time Cloud and maintenance and support revenue as we continue to upgrade and transition our legacy AsureForce products over to our latest product offering. Recurring revenue as a percentage of overall revenue for the quarter was 73% compared to 78% last quarter and 76% in the third quarter of 2013. Gross margin for the quarter was $5.4 million or 77%, up $507,000 or 10% from $4.9 million or 76% year-over-year and up $260,000 or 5% from the previous quarter gross margin of $5.2 million or 79%. Year-to-date gross margin was $15.6 million or 78% as compared to $13.9 million or 74% for the same period of last year, an increase of 12%. EBITDA for the quarter was $1.38 million, excluding one-time items, up from the $1.18 million reported in the previous quarter and down from the $1.46 million in the third quarter of 2013. We incurred $117,000 in one-time items this quarter, which were primarily legal service related to our acquisition of FotoPunch and Roomtag. Year-to-date EBITDA excluding one-time items was $3.7 million, up from $3.3 million reported for the same period of last year. For the year we have incurred $651,000 in one-time items which consisted of the loss on debt refinancing of $1.4 million offset by the gain on settlement of note payable and litigation of $1 million, as well as severance, legal and professional fees and other one-time expenses. Net income excluding one-time items for the third quarter was $0.04 per share. GAAP net income per share amounted to $0.03 per share, the per share difference of $0.01 is due to the one-time items discussed above. Year-to-date net income excluding one-time items was $0.05 cents per share, year-to-date GAAP net loss per share amounted to $0.06 – to negative $0.06, the per share difference of $0.11 is due to one-time items. Cash flow from operations for the quarter was $924,000 and $1.671 year-to-date. Capital expenditures were $57,000 for the quarter and $347,000 year-to-date. We expect year-to-date revenues to be within the range of $27 million to $28 million with EBITDA excluding one-time items between $5 million and $6 million and net income per share excluding one-time items of $0.12 to $0.16. At this time, I’d like to turn the discussion back to Pat our CEO for closing comments and then we’ll open it up for questions. Thank you.
Pat Goepel: Thanks, Brad. And we, on behalf of Asure, I want to welcome Brad to the chair, as we said October 4, he’s been digging in. He’s done a great job in the past here, and I know he’ll do a great job going forward. As we look ahead, Brad mentioned, $27 million to $28 million in revenue. We’re very excited about the sales growth prospects that we have and the sales results that we’ve had this year. Some of the large clients that we’re starting to get into the large enterprise multinational companies, the timeframe of turning a sale into revenue has taken a little longer than we would like. We will in 2015 look at some kind of backlog reporting to give you some kind of visibility in how that translates to revenue. But $27 million to $28 million on a whole is about double-digit revenue growth which we’re excited about. And that’s largely organic. The $5 million to $6 million EBITDA excluding one-time items, we revised down from $5.5 million to $6.5 million kind of where we are as the business. We did underpin a profitable company underneath our revenue growth, we would have liked to seek greater revenue growth. We’re poised and ready to go for 2015. But our EBITDA is still and profitability is still foremost in our mind. So, $5 million to $6 million was our estimate. And a net income positive of $0.12 to $0.16 a share, we’re seeing increasingly profitability. The first quarter we had a loss largely due to the refinancing that saved us about $1 million. So it’s nice to see the improving P&L. And in the fourth quarter we think we’ll continue to improve after third quarter. We do have a number of sales opportunities that follow our large client model and that we’re excited about that, we’re presenting a global vision, global execution sales model. And we’re hopeful in the fourth quarter in ‘15 that those efforts pay off. And we think could lead to accelerating revenue. As far as the foundation of the business, Asure is strong. It’s now profitable, poised for revenue growth and sales growth. And I think we’re in an excellent position to capture the adjustable market which is a big market. And I’m really excited about where Asure has positioned itself. And we look to capitalize going forward. With that, I will take any questions that you do have. And I appreciate your support.
Operator: [Operator Instructions]. Our first question comes from Jeff Houston with Barrington Research.
Jeff Houston – Barrington Research: Hi, Pat and Brad, thanks for taking my questions. Brad, welcome to the Asure team, looking forward to meeting you and spend some time with you.
Brad Wolfe: Yes, thanks.
Jeff Houston – Barrington Research: First question is, I understand that overall bookings were below plan. Could you talk a bit about how the bookings were by product that’s respect to Force is a bit below plan to how Force and Space both performed? And then, could you provide any color on deals that potentially slipped in the quarter as well as your pipeline going into Q4 and then 2015?
Pat Goepel: Lot of questions in there Jeff, couple of things. So, no, and thank you as always for your interest in Asure and we appreciate that immensely. Overall bookings, I would say in AsureForce, we – both businesses were down a bit in the SaaS bookings. And they were down about the same percentage. In AsureSpace we had some follow-on that were from our big deal in the second quarter and they were more hardware and PS related. And so, the overall booking, let’s start with there we’re up close to 40%. As far as cloud bookings, we’re working on a number of different big deals but we didn’t see them into home in the third quarter. On AsureForce, we had a number of different hardware sales and as well as cloud based bookings. But they were primarily in the small to mid-market and through partners. And so our direct large and we didn’t have a sale this quarter so the bookings were down. Overall bookings though for AsureForce lagged a little bit. AsureSpace this quarter we are excited about some opportunities that we have AsureForce. FotoPunch was a needed solution for us so I think clearly its opening some doors on the activity side. But the third quarter results lagged behind the Space. As far as revenue and revenue in the backlog, we had a couple of sales in the second quarter that we are hoping to get more revenue in for the third or fourth quarter, that now looks like 15. I know our, one of our large client is very happy with us and they’ve had a very good proof of concept where we’ve installed approximately 10 out of 400 locations. We’re going to accelerate and really install the bulk of the 400 locations next year. It was very important to have the proof of concept and that should be over $1 million installed next year that we at the time are hoping for potentially this year. I would say the client satisfaction is high, the partnership is high. It’s just a project that takes some time in the roll-out of it. Any other follow-ups Jeff, on those questions?
Jeff Houston – Barrington Research: Yes, was the 10 out of 400 roll-out, was that the PSSI that’s great – okay, yes, it seemed like a great seven-figure deal that you added last quarter so that sounds like that’s on track to be more fully rolled out in 2015?
Pat Goepel: That is correct, Jeff.
Jeff Houston – Barrington Research: Okay. Then, last question from me is, regarding organic growth, could you try to provide a little detail about what organic growth was in the quarter then how much did the two acquisitions add to the third quarter and how much do you expect them to add in the fourth quarter?
Pat Goepel: On the third quarter organic growth was about 8% or so. So, the acquisition didn’t lead to a lot, they’re both technology acquisitions. I think you will see that they will grow in importance in ‘15 and ‘16. So the organic was about 8% or so and really the acquisitions were negligible as far as third quarter revenue. What is also I think key is both are fitting into an integrated offering. Over time and what they’ll do is lead us to our growth in technology spend area and allow us to get a bigger piece of the pie going forward. In the short-term we’ve had some success with our mobile and with large sales opportunities like PSSI, over time those will get integrated into some of our offerings in totality. And I think you’ll see some great success. I know the client feedback and sales feedback has been very positive so negligible in third quarter but increasing going forward.
Jeff Houston – Barrington Research: Okay, great. Thanks for taking my questions.
Operator: [Operator Instructions]. Our next question comes from Mohan Bhagat [ph] with West-Self [ph] Capital.
Unidentified Analyst: Hello, can you hear me?
Pat Goepel: Hi Mohan, yes, I can hear you, it’s Pat.
Unidentified Analyst: Hi, I wanted to know a little bit about the growth in the industry versus yours. And I saw in the benchmark your performance against that of the industry. So Gartner says that time and space and scheduling is growing at around the mid-teens. So more recently you’ve been lagging the industry. Any reason why that should happen or is it temporary?
Pat Goepel: Yes, I think it’s temporary. I think Mohan, it’s a great question. First of all, in Space, I think we’re outgrowing the industry right now and we were 20% plus revenue growth and I think it’s a lot of hard work and focus. As far as Force goes, AsureForce, we do have some legacy deployments and that is decreasing our revenue and we’re transitioning away from the on-premise solutions. And that has been a drag about 10% or so on our revenue growth. We think over time that we’ll do very, very well in AsureForce. We feel really good about the technology and about the visibility we have in some bookings PSSI being one of them. And so, we think we have a very sellable solution, a very sellable cloud solution. What we’ll do in ‘15 also is, I think breakout our cloud from our legacy a little bit better. I think we’re growing double-digit. When I look at our new business, it’s the legacy piece that’s kind of clouding up if you will the financial results upon intended. And so, on the whole, our new sales of our new technology, we feel very good about addressing the mid-teens growth in the marketplace. I think the legacy has helped us back a bit.
Unidentified Analyst: Okay. And hi Brad, I haven’t got a chance to speak to you before. So I wanted to know what is it that you liked in Asure that made you join Asure and over the short period that you’ve been there, are there things that you would like to see change the more quickly in the more medium term and long term?
Brad Wolfe: Yes, thanks. That’s a meaty question also. I love the Space and I read about the management team. I think the company is undervalued. I think that if people really, we do a good job of expressing what a real value proposition is here, I think this stock will double or triple. So, that’s what attracted me. I think as in any growing company, you’re working your way up the curve. And there is always the next items you could move on. So, maybe takeaway I think infrastructure, and I think we’ve got scale now to where we can really focus on our infrastructure and make us much more scalable and much more international company. So, I think the growth potential here is just tremendous.
Unidentified Analyst: Okay. And anything that you would like to see changed?
Brad Wolfe: No, I mean…
Unidentified Analyst: Any improvements that you would like to tackle more immediately than, I mean, long-term there is always room to improve. But the low hanging fruits that you see?
Brad Wolfe: I think there is, opportunities for us to continue to invest in our infrastructure. And if you know Pat, Pat is not – he’s an immediate kind of guy. So I think we’re going to focus on that immediately and have been. I think we’ll see a lot of progress in the first and second quarter of next year in terms of just our infrastructure and making it more scalable for the sales potentials we have out there.
Unidentified Analyst: Okay. And Pat, coming back to you, I wanted to understand how the churn on the sales team was, is that holding you back on the total sales deal that you could make, is there competition on getting sales talent?
Pat Goepel: Yes, I think key sales talent is definitely a focus of ours. We’ve been able to attract sales people. We are going more and more what I would say up-market. And we’re looking at our skill set. I would love five or six really strong sales people today. And we are recruiting and pretty active in trying to get those folks. I’m very pleased with especially the last six months or so our sales team is really starting to get, come together. I think Bobby has done a great job as the VP of Sales and Mike Kinney has done a nice job of getting the new hires up to speed. So I think we still need talent to compete and to grab our enormous potential. But by the same token I think some of our sales people have come a long way and I’m very pleased with some of their progress. Still lot of work to do.
Unidentified Analyst: Okay, okay, that’s all from me for now. Thanks Pat and Brad.
Pat Goepel: Thank you, Mohan, thanks for your support.
Operator: Our next question comes from George Melas with MKH Management.
George Melas – MKH Management: Good morning guys, good morning Pat and.
Pat Goepel: Hi George.
George Melas – MKH Management: Welcome Brad, to the team. I’m sorry. I’m trying to understand, I think the company is doing well as you said, you’ve had growth, you have profitability, you have solid margin. But I’m trying to understand a little bit better the delta between your previous guidance and your current guidance because it’s a fairly meaningful step down? I think some of it is some of those large deals that you closed in the second quarter taking longer to implement and maybe also some lag on the bookings this quarter. But can you give us more color on that?
Pat Goepel: Yes, George, I think you really nailed it. We had a couple of sales in the second quarter that we are hoping and thankfully if there would be in the early second quarter or the first quarter, they came late second quarter. And the implementation while it’s going well is taking longer than we would have liked. And I think you’ll see some of that revenue in ‘15 as opposed to ‘14. I think the guidance around EBITDA and net income, have largely stayed the same. Net income guidance we narrowed for 8 to 24 to 12 to 16. EBITDA 5 to 6, instead of 5.5 to 6.5. So, I think largely the guidance is really around growth. I feel really good about the foundation of this business. I feel really good about the progress we’re making. We’re still a young company. We’re doing some technology acquisitions we’re going multinational and global. And we’re going there with some large prospects and large clients. And we’re sometimes like the little engine that could. And it’s maybe a hair longer to get up the hill but I’ll tell you what, we’re going to get up the hill. So, that’s kind of where we are. I think if you look at our last 12 to 16 and for that matter 20 quarters that we’ve been there, you’re going to see a pattern of continuous improvement. I also think sometimes we’re an ambitious company. And we drive our people to ambitious goals. And sometimes we’re our own, we’re standing and now we probably guide a little bit too high. That being said, we will – we have big goals and big aspirations and there is a big market out there and we want to capture it. I think we’re better poised today than ever, into that marketplace. But that’s largely where we’re at.
George Melas – MKH Management: Okay, great. And then a follow-up on Force, can you talk about the large deal that you’ve closed in Force, of course you’ve closed PSSI. But could you talk about your ability now to compete with Kronos, the 800-pound gorilla? And how you see your chances there to really become, to really sort of become a very meaningful player in that foot of niche in that industry?
Pat Goepel: I think it’s a great question and a lot of my calories are shifting to Force. Over the last year or two I’ve been really focused on getting space after the people cube acquisition going, and now it’s in the top – it’s in the 20% growth. Force is my next target right now. And I think we’ve done some good work in Force, AsureForce. Where I’m pleased with is we came with a cloud solution and a very state-of-the-art mobile and facial recognition and high technology solution. What now we have to do is repeat it over and over. We need to beef up scheduling and reporting. And we’re focused on doing that. I think we’re very good in the blue collar world. In the white collar world we have a few things that we’re really working on right now that we think will be game changers and help us compete effectively with Kronos, we want some deals against Kronos and some of the other major players. But I want to win them consistently. And that will be my focus here over the next three to six months to make sure that AsureForce competes very, very well. And the scoreboard is revenue growth and sales bookings and I got to make that happen.
George Melas – MKH Management: Okay. So, from a technology point of view, from a product point of view, you still have to work on scheduling and reporting. And I think you’ve had some integration to do, you had to beef up sort of the SaaS ADI platform. Can you talk a little bit about your expectation of when you think the product is really, I guess it’s never where you wanted it to be but so the next stage of the product?
Pat Goepel: Yes, I think the next stage of the product, first of all I think the product works very well today and it captures and has captured some really exciting sales. I think we’re limited in that. There are some feature set that we want to go after in the – primarily in the white collar world that we believe will make a big difference for us. As far as where I think that process is, I think we can compete very effectively right now. But I would see us making step changes throughout ‘15. By the end of ‘15 we’re there completely with some stops along the way. So, right now we’re in some deals that I think are very encouraging and very exciting. The areas that I talked about reporting and scheduling, we’ve made some progress and we’ll continue to make progress going forward. So, it’s not a big bang but it’s a journey. And I think there is, significant milestones each quarter. And I think all told by the end of ‘15 will be ready to go.
George Melas – MKH Management: Okay, great. And then just one final question on the sales force, I think you have told us on the last call that you were hoping to end the year with 32 sales people, but what’s the expectation now?
Pat Goepel: George, I’m sorry, when you said three sales people?
George Melas – MKH Management: No, 32, I’m sorry.
Pat Goepel: That’s all right. No, we anticipate being close to that number as we head into ‘15.
George Melas – MKH Management: Okay, very good.
Operator: And I’m not showing any further questions at this time. I’d like to turn the conference back over to the client for closing remarks.
Pat Goepel: Normally doesn’t quote AC DC in an investor conference call. But I think one of the themes here is, they had a hit song called “Back in Black”. And we’re back in black now for the second quarter in a row. I think we have a shot to do it and be back in black for the year, that’s a tremendous milestone for Asure and it’s a turnaround. But the real area we’re going forward is growth. And we finished the quarter here up 9% gross margin 10%, we want to double that. And we want to do that organically and then we want to layer in acquisitions. We think we have tremendous potential. We think we have a solid foundation. We’re excited Brad Wolfe is here to help us further cement that foundation and we’re going to reach for the stars. And we think the opportunity is huge. We think we’re poised to do well. And we’re not where we want to be but we’re certainly in a pretty good jumping off point. So, I really like to thank you for your interest and your investment in Asure. If you have any further questions, I’m available or Brad’s available. And thank you again for your time today.
Brad Wolfe: Cheers.
Operator: Ladies and gentlemen that concludes today’s presentation. You may now disconnect and have a wonderful day.